Operator: Good afternoon. My name is Rob, and I will be your conference operator today. At this time, I would like to welcome everyone to the Zuora's Fourth Quarter Fiscal Year 2024 Earnings Conference Call. [Operator Instructions] Luana Wolk, Vice President, Investor Relations, you may begin your conference. 
Luana Wolk: Thank you. Good afternoon, and welcome to Zuora's fourth quarter fiscal 2024 earnings conference call. On the call, we have Tien Tzuo, Zuora's Founder and Chief Executive Officer; and Todd McElhatton, Zuora's Chief Financial Officer. Robbie Traube, our President and Chief Revenue Officer, will be joining us for the Q&A session.
 During today's call, we will make statements that represent our expectations and beliefs concerning future events that may be considered forward-looking under federal securities laws. These statements reflect our view only as of today and should not be relied upon as representative of our views as of any subsequent date. We disclaim any obligation to update any forward-looking statements or outlook. These statements are subject to several risks and uncertainties that could cause actual results to differ materially from expectations. For further discussion of the material risks and other important factors that could affect our financial results, please refer to our filings with the SEC.
 And finally, unless otherwise noted, all numbers except revenue mentioned today are non-GAAP. You can find a reconciliation from GAAP to non-GAAP results for both the current and the prior year in today's press release. Our press release and a replay of today's call can be found on Zuora's Investor Relations website at investors.zuora.com.
 Now I'll turn the call over to you, Tien. 
Tien Tzuo: Thank you, Luana, and thank you, everyone, for joining Zuora's fourth quarter fiscal 2024 earnings call. I'd imagine there are quite a few questions based on the information we shared in our filing a few weeks ago. You all saw that our Q4 ARR growth fell short of where we were trying to land. We'll go through the details of the quarter. But the bottom line is this, in an uncertain year, we strengthened our position in the marketplace by focusing on what was in our control, namely accelerating new logo acquisition, continuing to innovate our market-leading multiproduct portfolio, investing in the success of our customers and delivering balanced growth and profitability.
 For the full fiscal 2024, subscription revenue was within the high end of guidance at $383.4 million, up 13% year-over-year. ARR grew 10.4%, falling short that we were hoping to land. And the trailing 12-month DBRR ticked 2 points lower, primarily from one large churn, which I'll talk about later on the call. At the same time, non-GAAP operating income improved by over $44 million year-over-year, exceeding the high range of our guidance by nearly $3 million, a big, big highlight for the year. And our adjusted free cash flow improved $72 million year-over-year, allowing us to generate over $44 million of cash in a year. In Q4, we also saw the biggest year-over-year increase in new logos that we've seen in 8 quarters. And in the quarter, nearly 60% of our customers who renewed in Q4 actually increased their spend with us.
 To put all this in context, let's go back to the start of the fiscal year. Like many other companies, one year ago, we were seeing signs of a general slowdown in IT spending. Many expressed that the office of the CFO was an area that could be affected. And there's a general consensus that there was going to be a slowdown in the digital transformation projects that have driven technology spending over the previous few years. And so we adjusted. Specifically, we said we would do 2 things. First, as we've been highlighting in the last few earnings calls, we shifted to doing faster lands at a lower ACV. So of course, still focused on what we believe is the sweet spot of the market, large enterprises and fast-growing disruptors, in other words, the leaders of today and of tomorrow.
 Second, we said we would strike a good balance between growth and profitability, and we committed to making progress towards the Rule of 40 framework. As it turns out, this was the right approach. As the year progressed, we did indeed see a pause in digital transformation projects. In FY '24, we saw fewer 7-digit ACV new logo deals. And in Q4, we did see these deals continue to push. However, our strategy of pursuing smaller, faster lands allowed us to sign almost 30% more new logos in fiscal '24 as compared to the previous year.
 In fact, if you just look at Q4, we signed on over 40% new logos compared to Q4 of last year. And this is with some fantastic companies, including Sony Network Communications, who will be bringing on approximately 1.5 million subscribers, or Infor, a global leader in business cloud software for industry-specific markets with over $3 billion in annual revenue, and one of Europe's largest airlines, they selected Zuora to scale their exclusive travel program with new strategic offerings. We're one of the leading brands of private member clubs and hotels with over 70 locations around the world or even a leading marketing SaaS platform used by 80% of the Fortune 1000, fantastic companies all around.
 We also saw sales cycles shorten. In fact, when I look at new logo deals between 100k and 500k ACV, these deals closed 25% faster as compared to FY '23. Now while this new logo strategy meant lower top line growth, we also executed on our commitment to deliver balanced growth and profitability, and we did it by rapidly expanding our bottom line. In fact, we ended the year at 24% against the Rule of 40 metric, which exceeded what we initially set out to do. When you net down the year, we executed on the strategy we set out at the start of the year. We were agile and able to quickly adapt to market conditions. We focused well on the things that were in our control, specifically profitability and free cash flow. And as such, we now enter FY '25 in a stronger position.
 Now what enabled the strategy, of course, is our differentiated technology and our amazing customer base. First, our products are built on a differentiated cloud architecture, one that I call loosely coupled, but tightly integrated, meaning our customers can start with any of our products. But then as they add additional products and modules over time, everything just works together. So you can start with revenue or start with billing or Zephr or payments and then expand within our portfolio. Here's just 2 examples from Q4. The first one is Toast, a leading restaurant technology management software company used by approximately 106,000 restaurant locations with over $3.9 billion in annual revenue.
 Now Toast was a Zuora revenue customer. But in Q4, I'm proud to say that they added Zuora billing. Toast needed an enterprise-grade monetization platform that can keep up with their rapid growth and a flexible solution capable of managing their dynamic business models. The second example is the Globe and Mail, Canada's leading national news brand with over 6 million monthly users. After going live with Zuora billing in Q4, they added Zephr to help them accelerate the growth of their digital new subscriptions through greater pricing and bundling flexibility.
 Second, we put a lot of work this year to shortening our deployment times to get our customers live on our monetization technology even faster. For example, you might remember, earlier in the year, we announced a new deal with TELUS Corporation, Canada's second largest communications technology company with more than $20 billion of annual revenue. And in Q4, they went live in just around 90 days, which is pretty amazing. For The Associated Press, an independent global news organization that reaches 4 billion people every day, in Q4, they went live on Zephr with its new donations capability as they continue to grow their direct-to-consumer offering.
 Third, our product is sticky, and allows our customers to grow with us. This past year, we had the best retention rate since we went public. We are at the core of what our customers do. And once we are live, we become an important part of their DNA. And we've seen that when we sign on a new customer, they become a long-term growth engine. As we look at our cohorts, even after 5 years and beyond, these companies continue to show consistent growth with us. And this is why we describe ourselves as a long-term durable business. In fact, we saw it in Q4 when a leading CRM platform renewed with Zuora billing. And over time, as our customers, they have increased their billing volume by over 8x.
 Fourth, after a long-time customer of Bridgestone, the world's largest tire and rubber company, acquired Azuga's fleet management platform, they expanded to work with us. In Q4, Azuga went live on Zuora to power its software solutions as Bridgestone progresses towards their goal to drive 20% of their revenue from recurring services by 2025.
 Finally, we have a proven committed field organization, which in my biased view is the best in the industry to help ensure our customer base continues to benefit from our technology. And here's how we saw this come to life last year. Our customers with multiple products as well as our highest ARR accounts, they have the highest level of customer satisfaction. Our customers say our platform is flexible and powerful but still easy to use. In fact, one of our top 10 customers recently awarded us as their top innovation partner, recognizing how our innovation enabled them to introduce new licensing metrics that drove a greater impact on their business.
 So now let's look forward to FY '25. The headline is we remain committed to our strategy of faster, lighter lands and adding great new logos to our installed base. This is the right strategy and over the long run that makes us a stronger company. Let me highlight 3 areas that we are focused on of improvement in one [ potential ] area of opportunity. First, unfortunately, there are 2 large churns that are affecting our revenue growth for this upcoming fiscal year. It's important to call out that we do not believe these indicate a broader trend across our business, but I believe it's important to highlight to you all.
 The first instance we saw in Q4 was a large customer that had experienced macro headwinds in their industry, and they face digital transformation and budget cuts. It's important to note that this customer was not yet live. That being said, as we reflect on what we could have done better, we do believe that faster go-lives will continue to reduce the likelihood of these events. And so you will see us continue to focus on this area. The second one is the churn that we are going to see in Q1, and this is factored into our guide. This is a company that signed on a number of years ago, and they had a digital transformation vision that unfortunately has not yet become a reality and their processes are still very much traditional one-off transactions. Now these anomalies do not change the strategy we have in place, but they do highlight the continued need for us not only to close the right type of customer, but also continue to focus on reducing time to go live.
 Second, another area we are working on is what I'll call consumption billing. So we've got consumption billings since day 1. But of course, we cannot rest on our laurels. In fact, we believe as more technology companies adopt AI, artificial intelligence, they will need to shift more of their pricing model to consumption-based pricing models. And so you're going to see this is an area that we will double down on, and I'm pleased to announce that since we launched Advanced Consumption back in June, we've had over 40 customers purchase the product, including 7 go-lives.
 Third, in fiscal '25, you're also going to see us continue to focus on improving our go-to-market efficiency. You're going to see us leaning into a higher quality demand generation and efficient pipeline capabilities, and we've made changes in our marketing and alliances leadership to drive this. We will continue to invest in our partnerships with leading system integrators to help us down this journey.
 The last thing is the potential opportunity and it's around the office of the CFO. When you look at the horizontal application stack, almost every application area has gone into the cloud with one big exception, and that is a company's core ERP systems. Now most people will say that at some point in the future, the trend has to kick in to move ERP into the cloud. And obviously, when that happens, we believe this is something that will benefit us. Now we're not saying it's going to happen this year, and we're not going to build that into our plan. What we are going to do is continue to focus on signing on some great new logos with the confidence that this will only make us stronger if and when the market for ERP projects reflects.
 To summarize, as I look back on fiscal year '24, the strategy we put in place at the start of the year has put us in a good position for fiscal year '25. We will continue to add new logos at a faster pace. We will continue to invest in our market-leading multiproduct portfolio that has been proven over and over again to be critical for driving success with recurring revenue models. We will continue to invest in amazing customer success, and we will continue to commit to delivering balanced growth and profitability.
 Finally, I want to thank all of our [indiscernible] that contributed to our success in FY '24. We would not be who we are today without your vision and your commitments. With that, I will pass the call over to Todd to review our financials. 
Todd McElhatton: Thank you, Tien, and thanks for joining our call. In Q4, we met our guidance on subscription revenue and total revenue while exceeding the high-end range for non-GAAP operating income and full year adjusted free cash flow. In fact, our focus on efficiency yielded a significant $72 million improvement on our full year adjusted free cash flow compared to last year. At the close of the quarter, we announced the workforce reduction and our preliminary expectations for ARR growth and DBRR for Q4 for fiscal 2024. The revised expectations were driven by the macroeconomic pressures we talked about as well as an unexpected customer churn we experienced. We significantly improved our bottom line and accelerated our new logo growth. In light of slower top line growth, we're focused on driving profitability as we make progress towards the Rule of 30 by Q4 of fiscal 2025.
 Subscription revenue in Q4 was $100.2 million, growing 12% year-over-year in both constant currency and as reported. For the full year, subscription revenue was $383.4 million, representing 13% growth year-over-year as reported and 15% in constant currency. As we continue to expand our partnerships with SIs, our professional services revenue decreased by 22% year-over-year, ending Q4 at $10.5 million and represented 9.5% of total revenue. For the full year, professional services revenue was $48.3 million, a year-over-year decline of 16%. Total revenue for Q4 was $110.7 million, up 7% year-over-year and for the full year was $431.7 million, up 9%.
 Non-GAAP subscription gross margin in Q4 was 82%, an improvement of over 280 basis points year-over-year. For the full year, our non-GAAP subscription gross margin was 82%, which represented an improvement of over 230 basis points. Throughout the fiscal year, we realized continued margin performance from optimizing our hyperscalers and increasing efficiency. Non-GAAP professional services gross margin for Q4 was negative 10%, a decline of 215 basis points year-over-year. This was driven by our continued investment in our customers. For the full year, our non-GAAP professional services gross margin was negative 4%. Looking ahead in Q1, we expect margins to be consistent with Q4 with sequential improvements throughout fiscal 2025.
 Our Q4 non-GAAP blended gross margin was 74%, an increase of over 550 basis points year-over-year. Our full year non-GAAP blended gross margin was 72%, an increase of over 460 basis points. In Q4, non-GAAP operating income exceeded the high end of our guidance by nearly $3 million, coming in at $15.9 million compared to $2.2 million in the prior year and representing a non-GAAP operating margin of 14% for the quarter. For the full year, our non-GAAP operating income was $47.5 million, resulting in an operating margin of 11% or a 10 point improvement compared to last year. The operating margin improvements for Q4 and the full year are the result of disciplined spending as we remain committed to improving our bottom line. Despite the top line headwinds, we have laid a path to achieve a Rule of 30 exiting fiscal 2025. As a reminder, we define the Rule of 30 as a sum of year-over-year subscription revenue growth plus non-GAAP operating margin. Our fully diluted share count as of the end of the quarter was approximately 180.2 million shares using both the treasury stock and if converted methods.
 Let's look into some of the metrics for the quarter and the year. As we disclosed in our SEC filings several weeks ago, seller-based retention ended at 106%, down 2 percentage points, both quarter-over-quarter and year-over-year. As Tien noted, our DBRR this quarter was impacted by an unexpected churn from a large customer that had yet to go live. In fact, this customer faced large budget cuts for the year given the impact of the macro environment on their business. This abnormal customer-specific churn created a 1 point headwind in both ARR growth and DBRR. It's worth noting that this year, we reached record levels of overall gross retention. We remain confident in our customer retention and product stickiness as we have a differentiated product portfolio that is mission-critical for our customers.
 Our total RPO ended the year at $594 million, growing 19% year-over-year. Noncurrent RPO grew 31% year-over-year to $271 million. These strong RPO figures were driven by a number of large multiyear renewals in Q4. We ended the quarter with 461 customers with a contract size at or above $250,000 in average contract value. This was up 8 sequentially and up 30 year-over-year. This cohort represents 84% of our business as we further expand into the enterprise space. This quarter, we closed 4 deals with an ACV of $500,000 or more, down from 6 last year. This includes one deal over $1 million, down from two last year. In the current environment, we continue to see less of large transformational deals and more of a lighter land that allow for future expansion.
 In fiscal 2024, we processed $139.9 billion of billing transactions and payment volume, a growth of 10% year-over-year. In addition, we processed $212.8 billion of revenue volume, a growth of 12% year-over-year. As a reminder, we provide these metrics on an annual basis as quarterly volumes ebb and flow. ARR landed at $403.1 million at the end of Q4 and grew 10.4%. Adjusted free cash flow was $14.6 million in the quarter, a significant improvement of nearly $32 million over Q4 of last year. Adjusted free cash flow for the full year exceeded our guidance by over $7 million at $44.3 million, representing a $72 million increase over the prior fiscal year.
 Turning to the balance sheet. We ended the quarter with $514.2 million in cash and cash equivalents, a sequential increase of $20 million. Total CapEx for the quarter was $3.1 million and $10 million for the full year.
 Before turning to guidance, I want to provide a bit more context regarding our recent organizational changes. In late January, we made the difficult decision to reduce our workforce by roughly 8% net as we drive efficiency and optimization throughout the organization. In connection with this reduction, we incurred approximately $7 million of restructuring charges in Q4. We also expect to incur approximately $1 million in the first half of fiscal 2025. These charges, which were excluded from our non-GAAP results, consisted primarily of cash expenditures related to severance payments, healthcare costs and job placement benefits for the impacted employees. These actions are part of our enhanced efforts in driving efficient and profitable growth.
 Now turning to guidance. Enterprises continue to scrutinize their investments. We anticipate this trend will continue in the office of the CFO throughout fiscal 2025, and as such, are being judicious with our guidance. In addition, our professional services business will continue to be a smaller portion of our total revenue mix as we support our partners in leading customer implementations, which is consistent with the trends we've seen this past year.
 Now turning to guidance. I want to remind you that Q1 has 2 fewer days than Q4. For Q1, we currently expect subscription revenue of $98 million to $99 million, professional services revenue of $9.8 million to $10.8 million, total revenue of $107.8 million to $109.8 million. non-GAAP operating income of $14 million to $16 million and non-GAAP net income per share of $0.06 to $0.07, assuming a weighted average shares outstanding of approximately 146.9 million. For the full fiscal year 2025, we expect subscription revenue of $410 million to $414 million, professional services revenue of $41 million to $45 million, total revenue of $451 million to $459 million, non-GAAP operating income of $79 million to $81 million and non-GAAP net income per share of $0.40 to $0.42, assuming a weighted average shares outstanding of approximately 151.5 million. We also expect to be at an annual share dilution of approximately 4% for fiscal '25. For this purpose, dilution is calculated by the number of equity awards granted net of forfeitures during the fiscal year, divided by the total shares outstanding at the end of the fiscal year.
 For the year, we expect DBRR of 104% to 106% and ARR growth of between 8% and 10%. As Tien noted, these metrics reflect the headwinds we saw in Q4 and early Q1 due to churn activity by 2 customer-specific instances. We have made tremendous progress with our bottom line. And as I stated in prior quarters, we will continue to balance growth and profitability. We remain committed to our goal of exiting fiscal '25 at a Rule of 30 run rate. We expect our adjusted free cash flow to be $80 million for the full year. This represents a $35 million improvement year-over-year.
 In closing, while the macro backdrop continues to impact us in the near term, we are focused on showing disciplined bottom line leverage. We continue to focus on accelerating new logos with our strategy to land lighter and to expand alongside our customers. This will bring us runway for accelerated growth in the second half of the year. We will keep our retention rate strong while improving profitability margins and increasing free cash flow generation.
 With that, Tien, Robbie and I will take your questions, and I'll turn it over to the operator. 
Operator: [Operator Instructions] Your first question comes from the line of Adam Hotchkiss from Goldman Sachs. 
Adam Hotchkiss: Great. I guess to start on the new logo side, I know you mentioned Sony and Infor and the increase in total new logos that adds on a year-over-year basis. Just any more commentary on the types of customers you're adding besides the ones you mentioned, what, from a product perspective, a typical lighter land looks like and how we should think about landing contract values versus the 8 net adds that you noted on the 250k-plus side. Just any incremental color there would be helpful. 
Tien Tzuo: Yes, absolutely. So in addition to Sony, Infor, I think we noted 3 more customers, you can see it's a fairly diverse mix actually. There was an airline that I mentioned. It's Tien here. There was a membership club, they're with 70 locations, and there was definitely a traditional SaaS company. I would not say the mix has changed too much. I would say that we continue to focus on technology companies, SaaS companies continue to do well, especially as they gear up for perhaps a churn in the IPO market, at least the private ones. And we still continue to see healthy growth in our media segments as well.
 In terms of the type of deals, obviously, it's an arbitrary number, but we thought that 100k to 500k is a good indication with the deal is not too small, not too big. And that's really where, like I said, we saw a pretty dramatic decrease in sales cycle time. So I'd say that's how to think about the business. 
Adam Hotchkiss: Okay. That's really helpful. And then Todd, I think you mentioned previously that ARR growth for the past fiscal year would be a good indicator of growth for fiscal '25. And it looks like there's a little bit of deceleration now baked into the guidance. So just curious how much of that is the 2 logo churns you mentioned versus maybe some incremental conservatism now that you're getting more of a view on the macro. Just any incremental color on the dispersion there would be useful. 
Todd McElhatton: So as you said, we had one customer in Q4 that was a pretty significant churn. That's going to give us a point of DBR headwind and same thing on the ARR as we move into next year. When we took a look at just some of the larger deals, those deals continue to elongate in cycle. And when we took a look at some of the things that continue to push out into the future, we've got another point there. And then the last one was there is a large customer. And in both of these churns that we've talked about, they're not in our core verticals. And so not standard, one was not live.
 The other was an old company. Actually, they do [ porta potties ]. And was trying to make a digital transformation, didn't happen. And so that's giving us another point. So if I take those 3 things together, those are the 3 points that we're seeing. And as we're just seeing elongated sales cycle, I think we were to be really judicious and not assume that we're going to have some of the larger deals that we had because that's really quite a lot of headwind on us this year. So we're going to assume for all next year that we're landing lighter. And then we have those 2 churns that obviously bring through the entire year from an ARR growth. And that's really what we've seen from a headwind perspective. 
Operator: Your next question comes from the line of Chad Bennett from Craig-Hallum. 
Chad Bennett: Great. Just curious on kind of the math behind the narrative of our best retention rate since going public considering the churn. Is that a gross retention number? Just kind of how do we think about that considering the churn? 
Todd McElhatton: Chad, that absolutely is a gross retention rate. And like I said, we were running well below where we thought we'd be. We actually ended up landing right on plan for the full year. We had that unexpected churn. large company really facing some big macro headwinds. Maybe just give you a little bit more color. It was a company that had not gone live, not in our core vertical, right up until before it churned, they were actually talking to us. They were looking to expand and bring Zuora Revenue on. And then literally, on a dime, it's like not only are we not going to do the revenue thing, but we're canceling the whole project and we're canceling all of our IT projects that aren't live. So that was something that was a surprise to us. So that's really what we're driving on it. And again, next year, we've got a timing issue. The linearity seems to be moved forward. When we take a look at the full year, that is what's driving it. And again, our customers are really sticky. And once they go live, we tend to keep them for a long time. And our top 100 customers, only 5 customers haven't gone live yet. 
Chad Bennett: Okay. And just curious, just were we recognizing subscription revenue from these 2 customers that have not went live or are not going live? And if so, for how long? 
Todd McElhatton: So I don't have the exact dates when they went live. But as soon as we sign a contract, we begin recognizing our revenue as anybody in the SaaS organization does because we do stand up that environment. They need that environment as they are working in their internal processes. So I think if any SaaS company, as soon as they sign the contract, depending on how it ramps, that is part of our revenue. So that was part of our run rate, and it was in the ARR. 
Tien Tzuo: Yes. And the second company, just to be clear, they have been live for over 5 years. And so they have big ambitions for digital transformation project. But if you look at their internal processes, I think we mentioned on the call, it's still very much one-off transactions, and they just never really transformed. And so the overhead of using our system ultimately it just wasn't a good fit. 
Chad Bennett: Got it. And then maybe just one last one, if I could. Just on the service line and the gross profit there. We're clearly running at a negative gross profit. And I think the thought was going back a couple of years is we're going to kind of sacrifice service revenue to invest in the channel and offer them up that implementation revenue. And what we get back for that is obviously subscription revenue growth. That doesn't seem like it's transpiring. And then the other avenue is we're investing in our customers direct. And our service revenue is going down materially year-over-year. Should we be running this at a negative gross margin business at this point? 
Todd McElhatton: Chad, I think for the full year, our objective is to run it slightly below where we are from a standpoint of the loss from Q4. And I'll just remind you, Q4 is always a little bit special for us. We have in the U.S., which is a big chunk of our business is 60-some-percent. We have the Thanksgiving week and then we have the end of the year shutdowns that a lot of companies have. And so when you take those, we just have a lot fewer billable days and that continues to put pressure on it. From another standpoint, we do invest in customers. We're also investing in partners. Those are some of the investments we continue to evaluate them. But at this point, we believe those are prudent. And those do help us drive top line subscription growth that has a very positive almost 83% margin this company. 
Tien Tzuo: And I think, Chad, the other point to it is, yes, we are porting the first on that. It is important, and we do see. I mean, our source pipeline as an example, one at 1.5x year-over-year through our partners. 
Operator: Your next question comes from the line of Patrick Schulz from Baird. 
Patrick Schulz: Just appreciate all the color you provided around guidance. Kind of curious if you could dig into some of the more recent buying patterns and deal closure rates you're seeing from customers, excluding those 2 large customers that churned, have customers been incrementally more cautious with our budgets now compared to late '23. Just trying to get a better understanding of the buying environment that's embedded within guidance. 
Tien Tzuo: Yes. This is Tien. I'll chime in there. you can sort of see a tale of 2 cities, right? There's 2 spectrums, if you will. What we're seeing in overall customers have remained really interested. Recurring revenue models are really important. The shift to subscription is really important. In the technology sector, if anything, AI, is pushing more and more people to do consumption-based billing models. And so from an overall trend for what we do and the market's need for what we do, we feel really, really good. When it comes to specific deal cycles, we're seeing 2 ends of the spectrum, right?
 On the smaller deals, and let's call it, less than 500k, we're actually seeing those deals close faster, and we're seeing good, good, healthy demand. I think there's just simply more scrutiny. You talk about $1 million, $1.5 million, $2 million ARR deal, multiply that by 3 or 5 sometimes, right, because they really see us as a long-term investment. You're talking about a sizable approval. Those things just continue to have a lot of scrutiny. Is there something out there that says, do those start to loosen up? Perhaps, but it's not something that we're going to count on and we're going to build into our models. 
Todd McElhatton: I think one other thing, Patrick, it's also really important to note is these aren't lost deals. As a matter of fact, when we look at our win rates, they're at record levels. And in fact, some of the companies that are doing bundling and getting away the subscription billing, we're seeing over 80% win rate against those. So I think it's really important to note, this is absolutely a macro phenomenon. This is not where we're not being successful against competitors. And in fact, I think another interesting thing is during the year, we actually took 17 deals away from our competitors, both high end and low end, where they said they really needed an enterprise solution at scale, and they came to Zuora because what they had wasn't doing what they needed. 
Tien Tzuo: Yes. I mean that's absolutely true, if you think about all the customers that we mentioned on the call. I can think of at least 3 or 4 or 5 of those that are competitive win backs. where maybe they picked a competitor 2 to 3 years ago, realized it doesn't have the functionality they need and they want them coming back to us. 
Patrick Schulz: Okay. That was very helpful. Appreciate the color there. And then maybe one quick follow-up, too. Just on the go-to-market investments. You guys mentioned that's going to be a big focus for you guys this year is improving the go-to-market efficiency. Could you maybe talk about some of the investments you're making around this motion and how you're thinking about the partner channel investments for this year. 
Robert J. Traube: It's Robbie. We are making sure that as we look at go-to-market, we're keeping all of our [indiscernible] exactly flat. We're focused very much on the marketing and the pipeline areas in terms of how we create more demand around those [indiscernible] make that fast moving in that sense. 
Tien Tzuo: Yes. Maybe I'll add a little color on that. Think about it as how do we generate demand. And we generate demand primarily through 2 ways. We do it through ourselves and we do it through our partners. We really like the partner demand. Those partners in previous calls, we mentioned those deals closed at a higher close rate, they tend to be bigger. Yes, once you get into the 7-digit deals, our partners feel us to just do more scrutiny on those deals, but partners remain really, really important for us. And then on the pipeline side, how we do demand through what the industry calls SDRs or BDRs, I think there's a transformation there. I think AI is going to help. And I think we're going to be able to find we'd be much, much more productive in that group. 
Operator: Your next question comes from the line of Joseph Vafi from Canaccord. 
Joseph Vafi: Just wondering, does it sound like perhaps 1 of those 2 customers could come back at some point when those IT projects begin again. And then just kind of wanted to make sure there was really no competitive influence on those deals? And then I have a quick follow-up. 
Tien Tzuo: Yes. I mean, the company that did not go live, that industry is definitely hitting headwinds, if you will. And so absolutely. I mean the business that we're in that company is subscription is recurring revenue is really important. That's why this did take us by surprise. And so I'm certainly optimistic that eventually we'll have another shot to work with them and make them successful. 
Joseph Vafi: Okay. Great. And then on the workforce reduction, could you maybe drill down a little bit? And was it broad-based across the company? Was there certain areas where there was a little bit more reduction? And how do you see that reduction affecting the R&D and the go-to-market? 
Todd McElhatton: So this action was really focused on efficiency, a little smaller than what we had done last time about 8% net and they give us $15 million of savings for the year. And so maybe I would put it into the following buckets. First bucket is what we did in product and technology. And when we think there, as COVID started out, we did a lot of hiring, especially offshore. And when we did that, we hired a lot of generalists and we also let people kind of be scattered throughout wherever they were. And we found was this just wasn't really effective for us. We need especially these generalists and folks to be aware they're able to collaborate and get into an office, and we just weren't seeing productivity from them. And so those were some reductions that we made the decision to make. So from a standpoint of we were able to get more efficient there, but we were seeing very little profitability. So we feel like there's not a loss of capacity there.
 On the go-to-market side, I think Robbie hit it is, we're not divesting in capacity out in the field, but we're just getting a lot smarter on how we're generating pipeline. What we're doing through partners, what we're doing through marketing, how we're spending our outbound. We're just learning there are certain things that are really productive and there's other areas that aren't, and the last is, we got really focused on G&A. There's a lot of areas where we've invested in the last 2 years on processing technology. That's just allowed us to get a lot more efficient, and we're dropping those to the bottom line.
 So overall, I think we've got the right structure, and we still have the investment that we need to deliver the leading product and go-to-market organizations. 
Joseph Vafi: Great. And then just going to squeeze one more in. I know you were targeting a Rule of 30, and you're targeting it again here. But given kind of a couple of the moving parts on the top line and then the cost reductions, do you see yourself getting to the Rule of 30 slightly differently than you were previously or the last time you provided that outlook. 
Todd McElhatton: So, we've been really disciplined. We said at the beginning of the last year that we weren't sure exactly how things were going to go. If we didn't see the ability to put dollars on the top line that we continue to put through the bottom line, I said at the beginning of last year that we would do 6% plus profit we delivered at 11%. We're going to continue to do that. So obviously, if you take a look at where we've given the guidance, that's going to imply that we're over a 20% operating margin at the end of the year. So yes, that'll probably be a little bit more on the bottom line, but we've certainly got opportunity to accelerate on the top line. So I feel like we've got a lot of different avenues for how we can get to that Rule of 30 regardless of what the environment looks like. 
Operator: [Operator Instructions] Your next question comes from the line of Joshua Reilly from Needham. 
Michael Rackers: This is Michael on for Josh today. I just have 2 quick ones here. First, what are you seeing in terms of invoice volume growth returning to maybe a more normalized level over time? And then could you help us understand the impact of lower invoice growth to the NRR? 
Tien Tzuo: Yes. I'll go ahead, feel that maybe, Todd, you can jump in. But look, I think we said invoice volume was 10%. Revenue volume was 12%. And you compare that to the growth of the GDP in the large countries, you can certainly see that our customer base continues to grow and continues to have a much healthier outsized growth compared to the general economy. So we're in the right part of the market, we're in the right part of the customer. Understand, right, how does that correlate to us? I think what you've seen us do, we've been pretty public about it over the last 3, 4 years. It simply reduce our reliance on invoice volume growth for our own growth.
 And so you've heard us talk about our multiple vectors of growth or multiproduct land and expand strategy. Today, we can grow by certainly volume and revenue scheduled growth in invoice volume, but we can also grow by additional cross-sell products, right, billing customers that buy revenue and vice versa. You heard us talk about that in the call or even within each of these products, we continue to launch new innovations, fraud detection in the billing product, [ FSP ] in the revenue product and the like, we can certainly sell additional modules and capabilities within a product that they already have. And so our goal is to give our sellers, right, a broad toolbox, if you will, a tool bag to bring value to our customers. And as long as we continue to do that, you're going to see us ability to grow with our customers. 
Todd McElhatton: Yes. Maybe Michael, the only thing I would follow up with is, we've talked in the past, maybe 30% or so of our revenue is driven by that volume metric. But we don't have a natural correlation for the 10% to 12% growth because as our customers get larger, they get big economies of scale. And that's one of the reasons that there's not an easy correlation for that. And I think Tien hit it right. That's certainly a driver for us. And as we've seen, especially the SaaS market, which is more than 50% of our business, as we've seen growth rates come down, that's been a headwind for us this year. We think we'll see this year that we get to the end of that headwind but that certainly has caused a bit of a headwind for us. And as those we accelerate, that will be something that we'll be able to take advantage of. But we also have multiple other avenues where we can grow. And the fact that we have a $600 million opportunity within our installed base outside of volume, we think, gives us a lot of ability to also grow within our installed base. 
Operator: And we have time for one more question, and that comes from the line of Brent Thill from Jefferies. 
Eylon Liani: This is Eylon Liani on for Brent Thill. My first question is most companies are telling us that the environment is improving. So other than the macro piece, is there anything structural that we should be aware of? And my second question is on the recent layoffs. How much of those the cost savings from the layoffs are being reinvested versus flow back through the margins? If you can help quantify that, that would be helpful. 
Tien Tzuo: Yes. Let me field the first one, and I'll let Todd deal the second one. Look, we all read the news just like you all, right? Is there a general sense that maybe at the U.S., at least we dodged a recession or a soft landing? Is there a general sense that, hey, maybe the Fed will start to lower interest rates? Was it going to be at the start of the year, would it be the end of the year? I'd say we're picking up the same level of optimism in the air that other companies are. But then I don't know if you've obviously been following some of the announcements today, you certainly see other companies be a little bit more muted in their expectations of what revenue growth will look like this coming year.
 So I think in this uncertain environment, it's good to be prudent. And that's why I like our strategy, right? I like our strategy of saying, look, regardless of what's going on in the macro, we can continue to sign on new logos. We might be doing a smaller ACV, a smaller land but at least to faster sales cycles that leads to more customers. We've got a proven engine that once we get the customers and we get them live, we can grow with them. You heard the stat, about 60% of our customers who were renewed this year actually grew their spend with us. And so we feel good about the strategy that allows us to continue to set ourselves up to be in a great position for long-term durable growth regardless of what happens in the overall macro. 
Todd McElhatton: The only thing I'd also add to what Tien said is I probably talk to 20-plus CFOs in the most recent quarter. And when I talk about all of them, I think everyone is being very cautious in their outlook as they start thinking about this year. So I think the guidance that we've given is really prudent based on the macro from what we're seeing and hearing from our customers.
 On your second question, as I noted on the last call was that there was about $15 million of that savings will go to the bottom line for the year. So I appreciate the question. 
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.